Operator: Good day, ladies and gentlemen. And welcome to the fourth quarter 2009 ONEOK earnings conference call. At this time, all participants are in a listen-only mode. Later, we will conduct a question-and-answer session, and instructions will follow at that time. (Operator Instructions) As a reminder, today’s conference call is being recorded. I would now like to introduce your host for today’s conference call, Mr. Dan Harrison. You may begin, sir.
Dan Harrison: Thanks. Good morning. And thank you everyone for joining us. Any statements made during this call that might include ONEOK or ONEOK Partners' expectations or predictions should be considered forward-looking statements and are covered by the Safe Harbor provision of the Securities Acts of 1933 and 1934. Please note that actual results could differ materially from those projected in any forward-looking statements. For a discussion of factors that could cause actual results to differ, please refer to our SEC filings. And now, let me turn the call over to John Gibson, ONEOK'S President and CEO and ONEOK Partners' Chairman, President and CEO. John?
John Gibson: Thanks, Dan. Good morning. And many thanks for joining us today and of course, for your continued investment and interest in ONEOK and ONEOK Partners. Joining me on today's call are Curtis Dinan, Chief Financial Officer for both ONEOK and ONEOK Partners; Rob Martinovich, Chief Operating Officer of ONEOK; and Terry Spencer, Chief Operating Officer of ONEOK Partners. As our news release has indicated, both ONEOK and ONEOK Partners had solid fourth quarter and year to date performances in a challenging industry and economic environment. At ONEOK, all three segments performed well. Our Distribution segment turned into solid performance, benefiting from new rate mechanisms in all three states and from additional revenues in the fourth quarter from capital recovery mechanisms. During 2009, the Distribution segment essentially closed the gap between allowed and earned returns on equity, as a result of the successful execution of multi-year innovative rate strategies. And in 2010, the segment will benefit from the new rates in Oklahoma that went into affect late last year. Energy Services had an exceptional fourth quarter and year, as we continue to successfully implement our strategy to reduce earnings volatility. At ONEOK Partners, higher natural gas and natural gas liquids throughput, benefited results during the fourth quarter and the year. Although lower realized commodity prices compared with 2008 more than offset those benefits for the year. In the fourth quarter however, the impact of lower realized commodity prices was more than offset by higher volumes in both the natural gas liquids and natural gas businesses, resulting in a 15% quarter-over-quarter operating income increase, driven in part from earning associated with the completion of more than $2 billion in capital investments that began 2006. These completed projects drove volume growth primarily in the natural gas liquids business and benefited not only the fourth quarter, but also the full year. In fact, the expected contribution of these completed projects gave us enough confidence earlier this year to project a penny per quarter increase in ONEOK Partners distributions in 2010. The distribution increases will benefit not only ONEOK Partners unit holders but also ONEOK shareholders. Since two-thirds of every incremental EBITDA dollar generated at the partnership is returned to ONEOK as cash. Importantly, we are well positioned for continued growth at the partnership’s, as previously announced we have identified between 300 million and 500 million per year of additional projects through 2015, depending of course, on market needs and producer commitments. In early February of this year, ONEOK Partners took advantage of receptive capital markets and issued more than $320 million of equity, which will be more than adequate to fund our 2010 investments. While ONEOK did not participate in this offering, primarily because of the demand for our units in the public market, the company still believes an investment in the partnership’s has beneficial to shareholders. Now, at this time, Curtis Dinan will provide a more detailed look at ONEOK Partners’ financial highlights and then Terry will review the partnership’s operating highlights. Curtis?
Curtis Dinan: Thanks, John. And good morning, everyone. In the fourth quarter, ONEOK Partners’ reported net income of $116 million or $0.93 per unit, compared with last year's fourth quarter net income of $122 million or $1.09 per unit. For 2009, net income was $434 million or $3.60 per unit, compared with $626 million or $6.01 per unit in 2008. John has already provided a high level summary of the drivers of fourth quarter and full year performance, and Terry will provide additional detail in a moment. Distributable cash flow in the fourth quarter was $149 million, a 35% increase compared with fourth 2008. For the year, distributable cash flow decreased $79 million to $558 million, but was more than adequate to cover a $1.10 per unit fourth quarter distribution, and maintain a 1.13 times coverage ratio for the year, towards the high-end of our 1.05 to 1.15 target. We issued the partnership’s 2010 guidance in January and expect net income to be in the range of $450 to $490 million for the year. Preliminary estimates for the partnership’s 2010 distributable cash flow are in the range of $580 to $620 million. Adjusted for the recent equity offering our average units outstanding for 2010 are approximately $101.4 million. Pending board approval, the partnership’s anticipate increasing the distribution a penny per quarter, building from the fourth quarter 2009 distribution increase to $1.10 per unit, which marked the 13 distribution increase since ONEOK become sole general partner of the partnership’s and represents a cumulative 38% increase over that time. Capital expenditures for the partnership’s are expected to be approximately $362 million comprised of $278 million in growth capital and $84 million in maintenance capital. Terry will provide additional details on the projects we are targeting with these investments. We have increased our hedges to lock in margins on our expected equity volumes in the partnership’s natural gas gathering and processing segment, which has the most sensitivity to the commodity price changes. While current 2010 prices for certain commodities are higher than the hedges in place, these hedges provided us the opportunity to lock in margins and to help ensure the distributable cash flow to support our forecast distribution increases for 2010. For 2010, we have hedged 75% of our expected NGL and condensate equity volumes at an average price of $1.21 per gallon and 75% of our expected natural gas equity volumes at $5.55 per MMBtu. For 2011, approximately 16% of our expected NGL and condensate equity volumes are hedged at an average price of $1.65 per gallon and 43% of our expected natural gas equity volumes are hedged to $6.29 per MMBtu. As is our practice, we continually monitor the commodity markets and to mitigate our overall risk we will place additional hedges as conditions warrant. Earlier this month, we issued $5.5 million common units including the underwriters exercise of a portion of the over-allotment option generating net proceeds of approximately $323 million, which were used to reduce the amount outstanding under our revolving credit agreement and for general partnership purposes. At the end of 2009, the partnership had $523 million outstanding and $367 million available under the $1 billion revolving credit agreement that expires in 2012. Following completion of the equity offering, the partnership now has $260 million outstanding and a debt-to-capital ratio of 50%. We are also forecasting our debt-to-EBITDA ratio to be below 4 to 1 by the third quarter of this year. The partnership’s next long-term debt maturities are very manageable $250 million due this June, which we expect to refinance with our short-term revolver and another $225 million due in 2011. Over the past three years, the partnership has issued $1.1 billion of long-term debt and raised more than $1 billion of equity and has now funded its more than $2 billion growth capital program. At this time, the partnership does not anticipate any additional financing need this year, but we will continue to monitor the capital markets and take advantage of opportunities as they are presented. Now, Terry Spencer -- now Terry Spencer will provide you with an overview of the operating performance of the partnership.
Terry Spencer: Thank you, Curtis, and good morning. The partnership had a solid operating performance in the fourth and the full year, driven primarily by volume increases in both the natural gas and natural gas liquids businesses. Lower commodity prices primarily for the full year offset the impact of these volume increases. The gathering and processing segment's fourth quarter and year-end financial results were lower than in 2008, due primarily to significantly lower commodity prices offset somewhat by higher natural gas volumes process and by selling our Lehman Brothers bankruptcy claims. In addition to lower prices, we also experienced a 3% decline in natural gas gathered in both the fourth quarter and year-end periods, due primarily to production declines and curtailments by producers of dry natural gas from coalbed methane wells in the Powder River Basin. We have certainly seen a drop off in drilling and natural gas production in this region compared with prior years, due to lower natural gas prices. Powder River production generally is not processed since it does not contain natural gas liquids, and it’s some of our lowest margin throughput. However, our natural gas volumes processed increased nearly 3% for the quarter and for the year, and remain strong because of our presence in the growing natural gas liquids rich Bakken Shale in the Williston Basin in North Dakota and the Woodford Shale in Oklahoma. These areas continue to be very active development areas driven by favorable drilling economics due in large part to the natural gas liquids content and associated crude oil and condensate production. In 2009, we connected approximately 300 new wells, down 35% from 2008 levels. But over half of this well connects were located in the crude oil producing NGL rich Bakken Shale and contributed to our growing process volumes. If rig counts remain at current levels the new well development on acreage dedicated to us under existing contracts could exceed 16,00 through 2014. We plan to invest $115 million in growth capital this year including $32 million for well connects and remaining $83 million for system expansions and upgrades within our operating footprint. In 2009, we had approximately 190 Williston Basin well connects and expect that number to increase to nearly 300 this year. For the entire segment, across our entire operating footprint, we expect the total number well connects to be north of 400 compared with 476 in 2008. With this growth in the Bakken Shale, our recently expanded Grasslands gathering and processing facilities are well positioned and we are evaluating the possible construction of more processing capacity and system expansions there as well as in Oklahoma. Our Western Oklahoma systems are at or near capacity because of the increase drilling activity in the Cana Woodford Shale and the Colony Wash development. Well, more of a natural gas driven play, the natural gas produce there does contain considerable natural gas liquids. We have contractual commitments with producers to provide gathering and processing services and are well positioned for a continued growth. Our 2010 operating income guidance reflect higher anticipated processing volumes that are expected to be 6% higher than 2009, and gathering volumes leveled with last year. As Curtis mentioned, we have 75% of our equity volumes hedged for 2010 and have already placed some hedges for 2011, and will continue to look for more hedging opportunities as the year progresses. In the news release, you will notice that we have adjusted realized net sales process to reflect hedge gains or losses on only the equity volumes we retained as opposed to averaging gains or losses across total sales volumes. We believe it was resulting realized prices will better reflect the impact of hedging on the equity volumes we retained from producers for our services. Now, moving to our natural gas pipeline segment. This predominantly fee-based segment had another exceptional quarter and year, regarding pipeline expansion and extension that went into service for the first quarter of 2009 as well as our new Midwestern Gas Transmission Interconnect with Rockies Express Pipeline, drove fourth quarter and year end results. For 2009, our inter and intrastate pipelines were approximately 90% subscribed under demand based rates for the quarter, compared with 85% in 2008 and approximately 86% subscribed for the year, compared with 83% in 2008. Continued supply growth in the midcontinent region, especially in the Woodford Shale, would provide us an opportunity to develop and build new pipelines, connecting to new supply sources and take way expansions to meet the needs of the producers. We are currently talking to producers and customers about these potential growth projects. Now, let's move to our natural gas liquid segment. Operating income increased more than 23% from the fourth quarter of 2008, primarily as a result of higher NGL volumes, gathered, fractionated, marketed and transported due to the completion of Overland Pass Pipeline and its related projects and the Arbuckle Pipeline. For the year, operating income was lower, primarily due to narrower NGL product price differentials, offset partially by higher NGL volumes from our recently completed growth projects. The average price differential between the Conway and Mont Belvieu market centers for ethane was nearly 25% lower in the fourth quarter '09, compared with the same period in 2008 and was nearly 27% lower, compared with the 2008 average. The amount of NGLs fractionated during the 2009 fourth quarter increased to 482,000 barrels per day or 35% higher. NGLs transported on our gathering lines were up 50% or 138,000 barrels per day and NGLs transported on our distribution lines increased 25% or 97,000 barrels per day. The primary driver for these increases was the completion of Overland Pass Pipeline which reached more than 113,000 barrels per day in the fourth quarter. Earlier this month, throughput reached 143,000 barrels per day, getting us closer to our target of over 200,000 barrels per day in the next three to five years, compared with Overland Pass' expandable capacity of 255,000 barrels per day. We continue to experience solid results on our North System. The NGL and refined petroleum products pipeline serving the Midwest. In the fourth quarter, we experienced high propane demands due to strong quarter earnings season and winter heating demand. We also continue to see increase in third party interest in shipping diluents, used in the production and transportation of heavy Canadian crude oil. Our 2010, operating income guidance reflects anticipated supply growth in the Mid-Continent and the full year impact of Arbuckle, Overland Pass and related projects that were completed in 2009. Now, an update on Arbuckle. Throughput reached approximately 97,000 barrels per day in the fourth quarter of 2009, exceeding our expectations as new supplies continued to be developed across our systems. Over the next three to five years, we have commitments from producers from more than 210,000 barrels per day of throughput, compared with Arbuckle expandable capacity of 240,000 barrels per day. For Overland Pass and Arbuckle, we expect approximately $40 million to $60 million in investments in additional pump stations in 2010. Now, let's discuss the NGL Markets. Fundamentals across the NGL Industry remain strong. We expect fractionation capacity to remain tight and additional NGL supplies to continue to be developed. Demand for fractionation capacity is increasing and so are the fees, with some contracts being negotiated with firm demand fee structures. Our volumes delivered to Piceance remains strong as U.S. Theme Cracker consumption of ethane exceeded 850,000 barrels per day during the fourth quarter of 2009. We expect this trend to continue throughout 2010. Demand is driven by our customers continued need for reliable supplies, services and infrastructure. We expect NGL based feedstocks like ethane to continue to have a competitive cost advantage over oil based feedstocks. We also anticipate as much as 100,000 barrels per day of cracking capacity. It could be further converted from oil based to ethane based feedstocks in the U.S. As NGL growth continues, we will carefully evaluate our NGL infrastructure growth opportunities and their underlined assumptions about the customer and market demand. With these historically high demand levels and growing supplies, contract structures that significantly mitigate volume and margin risk will become more prevalent. Chemical companies are projecting double-digit volume growth in 2010, driven by polyethylene and basic plastics as well as continued strong exports to Asia. USD stocking has ended and petrochemical companies are now expecting further increases and end user demand for various products. A vast majority of the U.S. ethylene derivative demand comes from Canada, Mexico and South America were about 10% of the export demand historically being consumed in Asian markets. Some industry excellence belief that the new petrochemical capacity coming online overseas will display its less economic oil-based capacity in Asia. We believe of our countries access to and preventability to quickly develop natural gas and natural gas liquid reserves at a relatively low cost will keep fuel and feedstock cost for U.S. petrochemicals at some of the lowest and most competitive in the world. The need for continued expansion of our NGL infrastructure is driven by the long-term development plans of natural gas and NGL producers within our core areas especially in the Bakken Shale and Woodford Shale and some outside our core areas. We are in discussions with producers in the Williston basin about NGL infrastructure need and takeaway capacity to accommodate this group. NGL fractionation and pipeline expansion opportunities remain a key focus for our business, particularly during this period of limited excess capacity that we mentioned earlier. We recently signed a 10 year fractionation services agreement with Targa for 60,000 barrels per day of capacity. At their facility in Mont Belvieu, Texas, which is currently being expanded and expected to be operational during the second quarter of 2011. This agreement provide us with timely access to new capacity in a cost effective manner. It does not preclude us from continuing to evaluate the expansion of our own fractionators or from building new fractionation facilities. The emerging Marcellus shale field, which needs more natural gas and NGL infrastructure is experiencing a potentially challenging, legislative, regulatory and environmental landscape. We are continuing our discussions with producers in this region to develop solutions related to NGL takeaway capacity. And we will require commitments from producers prior to making any investment. John, that concludes my remarks.
John Gibson: Thanks, Terry. It's a good summary, I appreciate that. Now, turning into ONEOK, Curtis will review, ONEOK's financial performance and then he will be followed by Rob Martinovich, who will review ONEOK's operating performance.
Curtis Dinan: Thanks, John. ONEOK's net income for the fourth quarter was $93 million or $0.87 per diluted share, compared with last year's fourth quarter net income of $68 million or $0.65 per diluted share. ONEOK's net income for 2009 was $306 million or $2.87 per diluted share, versus $312 million or $2.95 per diluted share in 2008. Rob, will provide more details on the drivers of this financial performance in a few minutes. ONEOK's 2009 standalone free cash flow before changes in working capital, exceeded capital expenditures and dividend payments by $223 million. By virtue of ONEOK's general partner interest and significant ownership position, ONEOK received $278 million and distributions from the partnership for 2009, an 11% increase from 2008. At the partnership's estimated distribution level as detailed in the 2010 guidance, ONEOK will receive approximately $304 million in distributions for 2010, a 9% increase over 2009. ONEOK's liquidity position is excellent. At the end of the fourth quarter and on a standalone basis, we had $359 million of commercial paper outstanding, which is backed by our $1.2 billion revolver that does not expire until 2011, $26 million in cash and cash equivalence and $366 million of natural gas in storage. By the end of the first quarter, we expect that we've paid all of our short-term debt as we continue to full gas from storage to meet our customers' need. We currently project short-term borrowings to remain below $400 million for 2010. Our next scheduled debt maturity is not until 2011, when $400 million comes due. Our current standalone long-term debt to equity is 41% and our standalone total debt to equity is 46%, which are both under a 50, 50 debt-to-equity target. ONEOK significant free cash flow and financial flexibility provide us with opportunities to make strategic acquisitions, increase our investment at ONEOK Partners, increase future dividends or repurchase shares. As John mentioned, ONEOK did not participate in the recent ONEOK Partners equity offering because there was more efficient and timely through access the public market. However, it does not indicate a shift in ONEOK strategy or its capacity or support of the growth program of ONEOK Partners. ONEOK's 2010 net income guidance is in the range of $300 million to $335 million. Our guidance reflects higher anticipated earnings in the ONEOK Partners and distribution segments partially offset by lower expected earnings in the energy services segment. Pending board approval, ONEOK anticipates dividend increases of $0.02 per share semi annually during the year. Building on the fourth quarter dividend increased to $0.44 per share representing a 57% increase since January 2006. We remain committed to our targeted longer-term dividend payout ratio of 60% to 70% of recurring earnings due to the stability of earnings and cash flows from all of our business segments. Now, Rob Martinovich will provide an update on ONEOK’s operating performance.
Rob Martinovich: Thanks Curtis and good morning. Terry already discussed ONEOK Partners, so I’ll start with our Distribution segment. Fourth quarter earnings were up 12% compared with 2008, due primarily to additional revenues from our capital recovery mechanism in Oklahoma that was approved by the Oklahoma Corporation Commission late last year partially offset by higher employee related cost. Year-to-date operating income was up approximately 11%, due primarily to increased margins in all three states from successful rate case outcomes. Operating expenses were slightly higher due to higher employee related costs primarily incentives offset partially by reduced bad debt expenses and lower vehicle related costs. For the past several years, we have focused on execution of our regulatory strategy to close the gap between our actual return on equity and our allowed return. I am pleased to report we have essentially closed this gap. Since 2005, the distribution segment has more than doubled its return on equity and nearly doubled its operating income. In 2010, our weighted average allowed return has increased from 10.1% to 10.7% with an expected return on equity of 10.4%. Our innovative rate designs for capital recovery in all three states have enabled us to earn a return on our investments more quickly thus reducing regulatory lag and improving the level of sustainable earnings. Going forward, we expect to grow rate base by efficiently investing capital and projects that provide benefits to our customers and our share holders. For example, we plan to invest $31 million to install automated meters and select metropolitan communities in Oklahoma. These meters will enable quicker, safer and more efficient methods and meter rating. And we’ll provide a net reduction in expenses while allowing us to earn a return on these investments under the new performance based rate structure, creating a win-win for customers and the company. With that, I will just briefly discuss the latest regulatory updates in our states beginning in Oklahoma. In mid December, the Oklahoma Corporation Commission approved an increase of $54.5 million and base rates and set an authorized return on equity of 10.5%. The previously approved performance based rate structure allows for a 75 basis points banned above and below the authorized return. In this rate case, several riders including capital recovery were moved to base rates. The net revenue increase is expected to be $25.7 million contributing to approximately $14 million of incremental operating income in 2010. Our new performance based rate structure requires regulatory review and annual adjustments as needed. However, adjustments are anticipated to be on a smaller scale then in the past dependent on our terms beginning in 2011. Moving to Kansas, in mid-December, the Kansas Corporation Commission approved our request for a $3.9 million rate increase under the Kansas Gas System Reliability Surcharge rider that became affected in January 2010. Also in mid-December, Kansas Gas Services filed an application with the Kansas Corporation Commission that became an efficiencies Kansas utility partner. This program is line to promote energy conservation and is funded by federal economic stimulus dollars. As filed, the company's participation in this program is continued upon the KCC approving a rate mechanism for revenue decoupling and allowing recovery of all program cost. The KCC has 240 days from the application date to issue ruling which result in a decision on or before August 16th. Finally, our Texas rate equity. In early December, Texas Gas service filed for a $7.3 million rate increase in its El Paso service area. If approved, the new rates would become affective in May and are factored into our earnings guidance. For 2010, the operating income guidance for our Distribution segment is $223 million. These reflects the $14 million impact from the approved Oklahoma rate case, $8 million from a retail market business moved from energy service segment and the impact of previously approved rates as well as anticipated new rates in Kansas and Texas. Offset in these increases is a $17 million from the 2009 capital investment recovery mechanism in Oklahoma that will not recur in 2010. Now, let’s turn to energy services. We had another strong quarter with results tripling compared with the same period in 2008. This was driven primarily by an increase in storage margins because of riders seasonal stores differentials, the summer winner spread as well as higher transportation margins due to hedges put in place during 2008 on the Rockies to mid-continent capacity. We were also able to take advantage of optimization opportunities in the market place due to the cold of weather. Offsetting these increases was a decrease in premium services revenue due to lower demand fees and the increased cost of providing these services due to the colder weather in our core service areas in December 2009. Full year 2009 operating income was a $135 million, up nearly 80% compared with 2008, due primarily to the higher transportation margins from higher realized Rockies to mid-continent differentials and an increase in premium services fees due to the relatively warmer winter weather in the first quarter of 2009 compared with the same period in 2008. Our natural gas and stores at the end of the year was about 61Bcf down from last year's 82Bcf. This decrease is primarily due to colder than normal regional weather in the fourth quarter mostly in December, compared with the fourth quarter of 2008 plus the year-over-year reduction of leased capacity. We currently have 83 Bcf of stores capacity under lease compared with 91 Bcf at the end of 2008. Our January 31st, 2010 inventory balance was approximately 42 Bcf. As part of our ongoing re-alignment of storage and transportation capacity to meet the requirements of our premium services customers, we anticipate further storage capacity reductions to 71 Bcf by the end of this year and down to 65 Bcf by the end of 2011. We expect our transportation capacity to be at 1.3Bcf per day by the end of 2010 and approximately 1Bcf per day by the end of 2012 compared with our current capacity of 1.5 Bcf per day. This capacity reduction targets those assets with lower than average unit margins. These actions will also reduce our earnings volatility and working capital requirements. During 2009, we evaluated the potential benefits associated with maintaining the storage and transportation capacity above the levels needed to serve our premium services customers. In the past, this additional capacity has enabled us to take advantage of natural gas supply disruptions that created opportunities for strong but not necessarily repeatable financial results. With our focus on premium services customers, we have created a more predictable less volatile earnings strength. Beginning this year, we moved our retail marketing business to the distribution segment which allows energy services to increase its focus on providing premium services to its wholesale customers. Energy services 2010 earnings guidance of $107 million in operating income excludes the $8 millions from the retail marketing business and reflects lower expected transportation margins from narrower natural gas location differentials compared with 2009. Our earnings guidance also anticipates reduced premium services demand fees as a result of the lower price environment when contracted along with reduction in market volatility relative to 2009. We do expect higher storage margins during the year as a result of wider seasonal storage differentials due to the lower pricing environment during the 2009 injection period. For 2010, nearly 75% of our storage margins and 62% of our transportation margins are hedged. We will complete our storage hedges as we inject gas in to storage or financially if spreads significantly widen. For transportation, we will be opportunistic if differentials widen in the summer as they often do, we will put additional hedges in place, if they don’t we will optimize our position in the daily marketplace. John, this concludes my remarks.
John Gibson: Thanks Rob. Very good summary and congratulations on a good year too. Now to summarize, since becoming general partner of ONEOK in 2006, we demonstrated our commitment to and a strong track record of strategic growth. Growth in distributions, since 2006 of approximately 8% on a compound annual basis were more than $0.30 a quarter from $0.80 to a $1.10 as well as the expectation of continued distribution growth in 2010. Growth in capital investments to create long-term value for our customers and investors including more than $2 billion of investments between 2006 and 2009 and the identification of 300 million to 500 million per year in additional investment opportunities between now and 2015. Growth in projects that creates sustainable earnings this year and next which also lead to additional investments in needed infrastructure in the future. Our industry clearly needs additional energy infrastructure as we secure producer commitments on the projects we've identified internally. We will announce specific projects with specific details as we have in the past. We believe our track record of connecting supply with demand, meeting producer and customer needs by providing quality nondiscretionary services as well as doing what we say we will do, speaks to the credibility of our company and its employees. Since 2006, we’ve announced 10 major projects, nine of which are now in service. All in all, I would say that's a pretty good betting [ph] average. So at this time, I would like to thank our employees for their commitment and contributions which allow us to continue to create the value we are delivering for our investors and our customers. Our employee’s hard work and perseverance was a basis of our 2009 success. Making our sound strategy and good assets come together to deliver strong results in a challenging environment. I would like to thank each of them for their dedication and hard work. Operator, we are now ready for questions.
Operator: (Operator Instructions) Our first question comes from Helen Rue with Barclays Capital.
Helen Rue – Barclays Capital: Hi. Yes. Good morning. Just a couple of questions on the OKS side, first one is in the NGL segment notice that gathered volume increased 138 million barrels per day year-over-year. And I was just wondering, adding Arbuckle 97 and Overland 130 that's about over 220. I guess some of the Overland number already appeared in the fourth quarter of last year. So I was just wondering that given your increased was 138 and you had a larger volume contribution from Arbuckle and Overland, whether was any other gathering -- NGL gathering lines that had volume decline?
John Gibson: I'm not sure. I understand your question. But what I will tell you is that the -- those volumes are interrelated to a certain extent.
Helen Rue – Barclays Capital: Okay.
John Gibson: The -- we've actually seen increases in our mid-continent gathered volumes. We've seen increases of course in the gathered volumes to go into Overland Pass and Arbuckle. So we are not experiencing decline in the -- if you will the core business.
Helen Rue – Barclays Capital: Okay.
John Gibson: So perhaps the numbers we could spend a bit more time with you and to help you perhaps with that to tie out. But we're experiencing growth across our entire NGL business and gathered volumes.
Helen Rue – Barclays Capital: Okay. Okay. And then just -- you will be getting some new supply commitments on Arbuckle and Overland in the next three to five years and I was wondering if you would be provide fractionation distribution of NGL sales service for the new volumes coming in?
John Gibson: Yes. We will for some of the customers we will, there will be some customers that will have their own fractionation capacity or want to contract for that themselves. But we will provide many of services for those customers in the way fractionation, storage, marketing…
Helen Rue – Barclays Capital: Okay.
Rob Martinovich: And in fact the customers that we will see gathered the ones that probably where we can sell them the most services.
Helen Rue – Barclays Capital: Okay. And then another question was just trying to understand better the operating data disclosing the NGL segment. I guess, what you gather you fractionate and then it goes distribution volume. And then the final pages, the NGL sales which -- and these are included, these four data points are included in new operating data. But I was wondering would you say the first three business gathering fractionation distribution business or fee-based business. And then the last part, the NGL sales you get a fee and make some additional margin on the -- a same product, spread between the two markets centers and the optimization margin between iso and on the butane side is that the way to think about this data?
Rob Martinovich: Close. You are close. Absolutely, on the fractionation gathered volumes those are fee-based businesses. On the marketing -- on the sales volumes, we generally generate a marketing margin. It's not necessarily a fee, it's a generally premium that we can collect in the marketplace, because we do have considerable volume at the market hubs. So that in and itself is not part of the fee-based business. I think one of the other things that get -- that you need to understand here is that some of the volumes are actually one and the same. So some of the volumes that we fractionate are also those same volumes are being gathered and transported.
Helen Rue – Barclays Capital: Right.
Rob Martinovich: You can't add all those volumes together you would be double counting volume.
Helen Rue – Barclays Capital: Right. I guess you would be offering some sort of a bundled fee on -- the same, okay. Okay.
Rob Martinovich: That's exactly. That's how generally our exchange agreements are primarily a bundled service.
Helen Rue – Barclays Capital: Okay. Got it. And then just finally, the Conway to Mont Belvieu spread, I think spread, came down quite a bit in the quarter and just wondering what you are seeing for 2010 and what's the guidance, what's the assumption embedded in your 2010 segment guidance that the 297 million. If what kind of spread assumption is embedded there?
Rob Martinovich: Well, ERV [ph] for 2010 is about a $0.10 spread for ethane propane or EP mix is what I am talking about ethane spreads between Conway and Belvieu about $0.10 a gallon. There are other products that we generate that we optimize and generate and realize spread benefit as well, some of the heaviest propane and normal as well. But the big driver is ethane and that's about $0.10 a gallon.
Helen Rue – Barclays Capital: Okay. All right. Thank you very much.
John Gibson: Thank you, Helen.
Operator: Next, question comes from Ted Durbin with Goldman Sachs.
John Gibson: Hello, Ted.
Ted Durbin – Goldman Sachs: Hi, guys. Just thinking about the CapEx budget, more likely kind of what your customers are wanting to lean towards, processing fractionation may be little more commodity sensitive businesses or more than fee-based gas pipeline. Other things, what you are seeing in the market right now?
Curtis Dinan: Well, inside the partnership, we are seeing a need for continued increase in gathered volumes whether that the -- at in the gas business and gas liquid business as supply pushes itself towards infrastructure. So it's undoubtedly supply push and then but once it hits system, the way we turn that in the revenues is predominantly fee-based.
Ted Durbin – Goldman Sachs: Okay. So little bit of mix of both we are think about that, should going forward?
Curtis Dinan: A mixing in that it won't very drastically from the mix they currently exist.
Ted Durbin – Goldman Sachs: Yeah. Yeah. Okay. That's…
Curtis Dinan: It's kind of more the same.
Ted Durbin – Goldman Sachs: Yeah. Understood. And then may be just on the services that the Targa announced that, how we think about -- how that impacts your margins, there is something, I mean, capital involved there. But how we should workout for our models we think about that that agreement you signed?
Curtis Dinan: Ted, as you recall from other discussions, we have had the fractionation situation in the industry right now is very tight. There's not much access fractionation capacity available, so this was a low end crude project that we really needed to do to allow us to continue to grow our infrastructure. It fits very well. It's down on the south end of our Arbuckle Pipeline allows us to continue to grow and then from an economic standpoint, how it will make money? It will allow us to generate fees from our pipeline business. Fractionation in and out of itself will be a profit center but the most of the revenue you will make from it will be from -- as John indicated earlier long-haul barrels at Rockies to the Gulf Coast, Mid-continent down to the Gulf Coast.
Ted Durbin – Goldman Sachs: So you are seeing sort of potential constraints in terms of the overall movement of volumes and the pipe, which kind of drove you to drive to, agreement opposite?
Curtis Dinan: Probably, the short story is that the piece that is shortest now is fractionation space.
Ted Durbin – Goldman Sachs: Right.
Curtis Dinan: And the party that can build the incremental fractionation the fastest certainly relative to us is the affiliate of target. So what we are able to do is, capture that capacity, used that and combine it with our gathering and with our -- as Terry said gathering of those barrels, so that we are able to provide producer a place to practice those barrels, then we have then barrels at the tailgate of that fractionators that we can then distribute and/or capture product price differentials. So, the short answer to your question is the way to think about this, we are increasing our margin. We are doing this to make more money. And this is the most economical and quickest way for us to meet the needs of the producers.
Ted Durbin – Goldman Sachs: Got it. And if you could just -- just one more in terms of kind of bigger picture thinking about growth at the partnership and cost of capital, and so the LPGP [ph] relationship. How are you thinking about distribution growth going forward? Is there the things that, the general partner can do to make sure that the partnerships stays competitive, once it's completed projects?
Curtis Dinan: The general partner has shown a willingness to do that in the form of buying units. The other option that we have available to us is and we are looking for these opportunities are for the GP to buy assets at the GP level for us to spend down in the future. So we not only have a willing GP, but we have a financially strong GP that is very flexible and how it approaches its investment in ONEOK Partners.
Ted Durbin – Goldman Sachs: Okay. That's great. Thanks very much.
Curtis Dinan: Thanks Ted.
Operator: Our next question is from Jonathan Lefebvre with Wells Fargo
Jonathan Lefebvre – Wells Fargo: Good morning, everybody. I should say almost good afternoon.
Curtis Dinan: Good morning, here.
Jonathan Lefebvre – Wells Fargo: We are listening to the William's Call last week and talking about their intention to exercise the option Overland Pass Pipeline. I think that agreement comes up in November, and I guess I was just wondering, what your thoughts are around this -- are you anticipating that they will exercise and if not, do you have the right to kind of resell that, that portion of the pipeline and then would it impact any of our capital plans in 2011 and beyond?
John Gibson: Yeah. Okay. We didn't listen to the call. So, to my knowledge, we don't know what they said? So, let's just review the option that they do have which, as you correctly point out is they have the option to acquire interest in the Overland Pass, the D-J and Piceance Pipeline Systems. They have that and then option is in November. We have yet to hear from them as to what their intentions are. We offered that option to them and by virtue of the fact of offering it to them; we are completely fine if they exercise it. And what that means is that if they exercise it, then we are going to get money and that's at a pre-determined price and that's money that we then use to invest further in ONEOK Partners. If they exercise the option and exercise it to the extent that they become 50% owners in those pipelines, I mentioned and they have the right to become operator which they elect to do that is okay with us because when we entered into this option, we entered into that with full knowledge knowing that, Williams is an excellent operator, pipelines as are we. So, we are good with it and -- but we've not heard anything from them. As far as the overall impact, when you look at the pluses and minuses of dollars coming in and interest cost going down and how much money we make off of the downstream activities, net-net it's not going to make a big difference to us in 2010 and relatively neutral going forward.
Jonathan Lefebvre – Wells Fargo: So I guess my question was if they don't exercise, will you look to bring in a different partner or will you just continue on with the same strategy or continue to own 99% of it?
John Gibson: I'm sorry. I didn't answer your question, I apologize, once their option period passes, we as owners of the -- 99% of the owners of the pipeline have the option to do whatever we like. I'm not sure that selling part of our pipeline to somebody else is not something we are thinking about. It's something that the short answer is we obviously have the right to do but it's not something we are contemplating.
Jonathan Lefebvre – Wells Fargo: So your growth plans for 3 to 500 million are not predicated on filling that piece?
John Gibson: No, absolutely not.
Jonathan Lefebvre – Wells Fargo: Got it. All right, that's all I have.
John Gibson: Okay.
Jonathan Lefebvre – Wells Fargo: Thanks.
John Gibson: See you.
Operator: Our next question comes from Louis Shamie with Zimmer Lucas.
Louis Shamie – Zimmer Lucas: Hi. Congratulations on the quarter and the year. I just had a quick question regarding the distribution segment. Does your 2010 guidance assume any impact from that filing in El Paso?
John Gibson: It does, yes.
Louis Shamie – Zimmer Lucas: It does.
John Gibson: We got it.
Louis Shamie – Zimmer Lucas: Do you assume you get the full 7.3 million?
John Gibson: No.
Louis Shamie – Zimmer Lucas: Okay. Can you tell me what you do assume?
John Gibson: No.
Louis Shamie – Zimmer Lucas: Okay. All right. Thanks very much.
Curtis Dinan: Was that Louis or was that Alex?
Dan Harrison: That was Louis, yeah.
John Gibson: You are right, okay.
Louis Shamie – Zimmer Lucas: All right. Thanks, John. Thanks, Rob.
John Gibson: See you Louis.
Operator: Our next question comes from Ross Payne with Wells Fargo.
John Gibson: Hello, Ross.
Ross Payne – Wells Fargo: Hi. Most of my questions have been answered but one quick question. What kind of exposure do you have to the Granite Wash and obviously in Oklahoma, it seems that the Woodford is obviously a growth area for you, I assume Granite Wash is as well. What’s going on in between in terms of conventional drilling that you’re seeing?
John Gibson: Hey, Ross. Let me interrupt you. I'm sorry, but for some reason we can just barely hear you.
Ross Payne – Wells Fargo: Okay. How about here, okay?
John Gibson: Little better.
Ross Payne – Wells Fargo: Sorry about that. Obviously the Woodford is a growth area for you in Oklahoma? I was curious what kind of exposure you had to the Granite Wash, and absence that, what going on with conventional drilling just within your gathering areas?
Rob Martinovich: With conventional drilling. Well, first part of your question, we do have exposure to both the Colony Wash and Granite Wash, so our system do extend into those areas, so we like our position there. As far as conventional drilling, it's slowed down quite a bit. There is still some activity but the thing that's surprising us even some of the more traditional conventionally drilled formations are being horizontally drilled, and they were not horizontally drilled before. So, yeah, conventional drilling has slowed down quite a bit. But the horizon drilling obviously the results in the Woodford and Colony Wash have much more than offset that.
Ross Payne – Wells Fargo: Okay. Great. Thanks. Appreciate your comments on the overland pass as well. Thanks.
John Gibson: Thank you, Ross.
Operator: Our next question comes from John Tysons [ph].
John Tysons: Hi, guys. Good morning.
John Gibson: Hi, John. How are you doing?
John Tysons: Good. Just quick question on and clarifying on the -- in terms -- in regards to our signed long-term fractionation agreement with Targa. Where are you able to lock in supply that supports that your capacity agreement on the fractionator? Or is it your view that the mid-continent NGL supply going to be so robust that taking advantage of, I guess, short-term NGL basis differentials is going to be a more attractive way of monetizing that fractionation capacity?
John Gibson: Terry.
Terry Spencer: Yeah. Got it. We actually have a considerable portion of that locked up not all of it but we do have supply committed for that will affectively go through that fractionator. Our view on the supply is so bullish that we don't have any concern that we won't have that fract full by the time it starts up.
John Tysons: So if you look at the, I guess, the supply versus the fractionation capacity in the Mid-Continent area over the Conway market. The assumption would be that you’re going to be, there will be plenty of supply for the market and it's going to overflow to either Canadian or into the Gulf of Mexico, and I guess the is, Arbuckle pipeline is really the only incremental provider of the transport between the two at this point?
Terry Spencer: You know, I wouldn't say it's the only. But I will say that it's probably as economic if not the most economic alternative to move product down to the Gulf. It's readily expandable pipe and has quite a bit of connectivity on the down on the South end. And it ties directly into our fractionation facilities and as well, it will tie into the Targa fract.
John Tysons: What is your -- what is the -- how much further can you expand that pipe now that it's completed?
Terry Spencer: Well, the current capacity is about 160,000 barrels per day. And we can readily go to about 240, and some of our engineers would argue we could go even higher than that, but 240,000-barrels a day is what is expandable to.
John Tysons: Okay. Great. Thanks, guys.
John Gibson: Thank you, John.
Operator: Our next question comes from Carl Kirst with BMO Capital.
Carl Kirst – BMO Capital: Hi. Good morning, everybody, and very nice quarter as well. Actually, most of my questions have been hit, one follow up if I could or actually in energy services. Can you comment at all how the first quarter weather has treated you guys, and I guess, I just want to make sure that as we see the amount of hedges in place and I guess, I'm on the same page. Did the weather spikes, I mean, do we have the capacity to take advantage of that now or is sort of the move towards cutting out the volatility, which I think is absolutely the right way to go. Does that sort of also mute the impact of taking advantage of weather events like that?
John Gibson: You got it. And so obviously we can't make any comments about first quarter, but as we said many times before the tradeoff for us to align our capacity whether it be transport and storage with our premium customers is that we remove the opportunity to participate in the upside but we greatly remove the opportunity to participate in the downside. So as you just described it is exactly what’s behind our strategy.
Carl Kirst – BMO Capital: Perfect. Just wanted to confirm. And then, Curtis, the hedges you threw out on the NGL equity volumes and the gas volumes, I apologize, are those net two ONEOK or those Mont Belvieu have enough prices?
Curtis Dinan: Well, the equity volumes are, they are a combination.
Carl Kirst – BMO Capital: So net of the location.
Curtis Dinan: They are…
Rob Martinovich: They are net of prices.
Carl Kirst – BMO Capital: Okay.
Curtis Dinan: Yes.
Carl Kirst – BMO Capital: Thank you, guys.
Dan Harrison: Okay. Well, thank you all. This concludes the ONEOK and ONEOK Partners’ conference call. As a reminder, our quiet period for the first quarter will start when we close our books in early April and will extend until earnings are released after the market close as on April 28th. Our first quarter conference call is scheduled for April 29th and we will provide additional conference call information at a later date. Andrew Ziola and I will be available throughout the day for any follow-up questions. Thank you for joining us.
Operator: Ladies and gentlemen, this does conclude today's presentation, you may now disconnect.